Operator: Good day and thank you for standing by. Welcome to Caesars Entertainment First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Brian Agnew, Senior Vice President of Corporate Finance, Treasury and Investor Relations. Please go ahead.
Brian Agnew: Thank you, Liz, and good afternoon to everyone on the call. Welcome to our conference call to discuss our first quarter 2025 earnings. This afternoon, we issued a press release announcing the financial results for the period ended March 31, 2025. A copy of the press release is available in the Investor Relations section of our website at investor.caesars.com, along with the supplementary earnings presentation that management will reference during their comments today on the call. Joining me on the call today are Tom Reeg, our Chief Executive Officer; Anthony Carano, our President and Chief Operating Officer; Bret Yunker, our Chief Financial Officer; Eric Hession, President, Caesars Sports and Online Gaming; and Charise Crumbley, Investor Relations. Before I turn the call over to Anthony, I would like to remind you that during today's conference call, we may make certain forward-looking statements under safe harbor federal securities laws, and these statements may or may not come true. Also during today's call, the company may discuss certain non-GAAP financial measures as defined by SEC Regulation G. Please visit our Press Release located of our Investor Relations website for a reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure. With that, I will turn the call over to Anthony.
Anthony Carano: Thank you, Brian, and good afternoon to everyone on the call. We had a good start to 2025 as first quarter consolidated net revenues of $2.8 billion increased 2% and total adjusted EBITDA of $884 million increased 4% year-over-year. Despite a tough comparison in Las Vegas against the Super Bowl last year and weather disruptions regionally, combined with one less operating day this year compared to last year, our results reflect stable trends within the brick-and-mortar segments and continued strong growth in digital despite poor hold during March Madness. Starting Las Vegas. Same-store adjusted EBITDAR of $433 million was essentially flat versus the prior year and was the third best Q1 Las Vegas performance on record. During the quarter, our Las Vegas team did an excellent job navigating through a tough Super Bowl comparison to deliver exceptional results. Occupancy and cash ADR were both down slightly. Slots and ETG volumes grew year-over-year. Convention room nights were 20% of our mix and the form convention center delivered a Q1 EBITDA record. Same-store operating expenses were down 3% year-over-year, a testament to the strong operating discipline of our teams in Las Vegas. Las Vegas EBITDA margins were 43.2%, up 50 basis points year-over-year. New capital projects in Las Vegas continue to drive better-than-expected returns, especially recent hotel remodels, like the Versailles and Coliseum Towers and F&B projects at both the Flamingo and Planet Hollywood. While we recognize the tremendous uncertainty surrounding the economic impact of potential policy change in the US, we remain encouraged regarding the forward outlook of Las Vegas. We continue to experience solid occupancy trends driven by both leisure and the group and convention customer. Now turning to our regional segment. We delivered $440 million of adjusted EBITDA for the quarter, up 2% versus last year. The regional segment experienced a significant improvement in trend versus the last three quarters of 2024 driven by stable same-store trends and the contribution from New Orleans and Danville for a full quarter, all despite the negative effect on the quarter weather disruptions across the portfolio and the extra day last year. The New Orleans and Danville projects completed our elevated CapEx cycle over the last few years. Both properties are off to a great start, and we look forward to harvesting this cash flow for years to come. We are committed to providing the best experience to our guests as evidenced by the significant amount of CapEx invested into our properties over the last four years. I want to thank all of our team members for their hard work so far in 2025. Our strong results reflect their dedication to delivering exceptional guest service. With that, I will now turn the call over to Eric for some insights on the first quarter performance in our Digital segment.
Eric Hession: Thanks, Anthony. Caesars delivered net revenue of $335 million, up $53 million or 19% year-over-year and $43 million of adjusted EBITDA, up $38 million year-over-year. Our flow-through rate was well in excess of our annual 50% target due to cost controls that we implemented in labor, marketing and overall reinvestment levels. Results in the quarter were driven by growth in both verticals with sports betting net revenue increasing 9% and iCasino net revenue growing 53% year-over-year. On a hold-adjusted basis, we estimate that our digital segment would have grown revenues by roughly $88 million or 31% year-over-year and EBITDA by approximately $60 million. In sports, net revenue growth was driven by a combination of higher year-over-year hold and lower promotional activity. We were able to achieve the higher hold despite the well-publicized customer-friendly basketball outcomes due to our increasing Parley mix, which was up 260 basis points versus last year. Our sports betting customers are responding favorably to our continual product enhancements, particularly within the Parlay and cash-out categories. We have an exciting road map planned for the remainder of the year. In iGaming, we posted another record quarter with net gaming revenue up 53% year-over-year, driven by 28% volume growth, higher hold percentages and lower reinvestment. Customers continue to respond favorably to the product introductions in the game content and overall user interface Caesars Palace Online, our highest net revenue-generating app also continues to have the fastest growth. Our newest app, the Horseshoe is accelerating and already contributing approximately 7% of our segment net gaming revenue. We recently introduced branded live dealer studios in Pennsylvania and New Jersey, both of which have been well received. Our in-house game studio is planning to launch a branded multihand blackjack game in the second quarter, which will be our first internally developed product. On the technology side, we remain focused on completing the rollout of our player account management system, which delivers a single wallet across state lines. To date, we've successfully integrated 16 states, including entering the field trial, for our William Hill app in Nevada and remain on track to be completed with the full rollout by the end of 2025. In addition, this quarter, we integrated the horse racing app into the shared wallet for select States and we'll expand that integration throughout the remainder of the year. Our EBITDA for the trailing 12-month period is now in excess of $150 million.
Operator: I'll pass the call over to Bret for some comments on the balance sheet.
Bret Yunker: Thanks, Eric. We're very excited to be at the end of our regional investment cycle. We expect 2025 full year CapEx to be roughly $600 million, excluding our Virginia joint venture with interest also moving down significantly to approximately $775 million. Our nearest maturity is the [indiscernible] stub unsecured notes due 2027, which we expect to tackle in the near future. Earlier this month, we repurchased $100 million of our stock at an average price of $23.84. We will look to continue our track record of debt reduction alongside opportunistic share repurchases as the year unfolds from here. Over to Tom.
Tom Reeg: Thanks, Bret. Thanks, everybody, for joining. I'm very pleased with how the quarter came in for us consistent with what we had been telling you on our fourth quarter call, Vegas was facing a very difficult comp versus Super Ball last year. Recall that we had poor hold below our normal range in the first quarter of last year. We got back into our range, albeit just to the left side of that range. We were still about 200 basis points below normal. So on volume and activity, Vegas would have been up year-over-year, we ended up flat. Regional, we were anticipating a pickup in weather coming into first -- this year's first quarter. Last year's first year's first quarter was difficult as it turns out this quarter was even more difficult. And in the case of New Orleans, added a terrorist event in the middle -- or in the beginning of the quarter. So we had a lot of headwinds against still delivered growth. As I talked about on our last earnings call and since the growth in terms of -- that was added with Caesars, New Orleans, and Danville, Virginia more than offsets the continued competitive impact across markets like Chicago and Council Bluffs in Indianapolis, and we're very pleased with where we sit. To highlight one particular property that kind of illustrates the extremes of what happened in the quarter. New Orleans, the terrorist event on New Year's Eve and then snowstorms in New Orleans had us put up a little over $2 million of EBITDA in January, which is well below any forecast that we would have ever been working off of. February did almost $19 million of EBITDA, obviously helped by the Super Bowl. And so we get to March and that's kind of our first look in 2025 as to what our normalized run rate with no particular weather or Super Bowl impact, and we did over $16 million of EBITDA in March. So feel very good about pacing there and in regionals generally. In digital, obviously, everybody's talked about the March Madness sports outcomes and we were not immune, still posted very strong growth year-over-year. iCasino continues to be a stellar performer. Our 53% net revenue growth in iCasino is on top of last year's first quarter when we also grew over 50%. So now stacking quarters like that on top of each other is particularly gratifying for us. If you look at what's going on in April, just starting in digital. Again, we're comping to a quarter where iCasino growth was 50% in the second quarter of last year. Through the first 27 days of April, iGaming revenue for us is up almost 70%. So accelerating from where we were in first quarter, feeling very, very good about where we are with Eric and Matt the team there. And we've talked about -- we expect Vegas to grow a little bit this year. Regionals to be flat to slightly up in digital to post strong growth. Obviously, we talked about that before all of the tariff news in the -- in our fourth quarter call, there is no change in terms of what we're expecting in the business. We still do not see any of the consumer softness that investors seem to be worried about. Our forward bookings still look quite strong. Regionals are still coming in nicely and digital is continuing to post significant growth. So feel very good about that. We're effectively one-third of the way through the year. If you want to take the other side, obviously, we see same macro picture you do in terms of what's going to happen with tariffs and consumer spending and inflation. If you are a bear on what's going to happen with the consumer, keep in in mind, we have never had a prior downturn, a business segment that's growing like the digital segment is for us, if you look at where consensus is, where -- versus where we were last year, you would have to see a dramatic downturn in in brick-and-mortar performance the last 8 months of the year for us to not be a significant grower of EBITDA this year. I'd also touch on -- we are -- we've talked about how we're at a capital inflection point, capital spend inflection point. We've put up some slides on our investor website that I'd encourage you to take a look at in terms of where and how much we have spent. Now we are in a free cash flow harvesting mode you should still expect substantially all of our operating free cash flow to be used to pay down debt this year. Recall that we have the $250 million World Series of Poker note. we expect that, that will be monetized in the course of 2025. And those are the are the funds that we were using to buy back stock in April. We will continue to be opportunistic if we can buy our stock a 25% free cash flow yield you should expect that, that will be a piece of our free cash flow usage. But again, substantially all of operating free cash flow is we expect to use for debt pay down. That remains the case.
Operator: And with that, I'll throw it back to the operator for questions.
Q - Carlo Santarelli: Hey guys. Thank you, Tom. Tom or Anthony, either one of you want to take this one, but it has do with kind of Las Vegas, the outlook, what you're seeing in booking and maybe how you guys could give us a sense of what on the books today is kind of group related as we look through event where else do you have comfort and visibility, and I'm going to assume that kind of anything would turn up there. But my sense is April, May and then the back half of the year, your group pace is pretty well firm at this point. And I just want to get a sense of the magnitude?
Tom Reeg: Yeah, that's right, Carlo. The group was about 20% of our first quarter room base that's a little bit higher than the full year number, but we would expect and that's consistent with what we were -- we thought coming into the year. We expect that for us, 2025 will be a record year in group with particular strength in the fourth quarter of the year. And that $26 million will be another record group year for us with particular strength in the first quarter of the year. And if you look -- if you think about our forward bookings as is typical, we can see pretty well 90 days into the future and cash room revenue looking forward looks in line with last year's number for the second quarter. We are not operating any differently than we have over the last couple of years. If we were to start to see softness, we have levers that we can pull, obviously that you saw as we came out of the pandemic, where we were able to outperform peers in the market by tapping in to our database. We have that option in the case where the economy would soften, we could go deeper into our database, but I want to make clear, we're not having to do any of that at this point. And we're mindful of what happens in the broader economy and looking at the same things you're looking at.
Carlo Santarelli: Great. Thank you, Tom. And then if I could, Eric, last year, I just wanted to clarify something from a reporting perspective. Last year, in the 2Q, there was a seemingly sized other revenue piece outside of the iCasino and sports betting business. Could you kind of talk about what that was? And my guess is that will create a little bit of a headwind in the 2Q this year for segment reported net revenue and perhaps EBITDA. But I just want to better understand what that was and the magnitude of it?
Eric Hession: Yeah, that's absolutely right, Carlo. You saw it this quarter, it was around a $6 million headwind on the EBITDA side for us. That category is generally skin revenues as well as revenues that we received from World Series of Poker that can consist of royalty rights, hosting fees, et cetera. And so as you'd expect, the second quarter and the third quarter when the main event in Las Vegas spans the quarters, that were the peak periods for the World Series of Poker revenues and those are going to zero. And then the skin revenues, as you'd imagine, with a number of the smaller operators and other providers exiting markets, the skins have deteriorated in terms of what we can command for the royalties there. And so you should expect to see fairly large declines in that segment in Q2 and Q3. And then Q4, it will be kind of back to normal.
Carlo Santarelli: Great. Thank you, Eric.
Operator: Our next question comes from Brandt Montour with Barclays.
Brandt Montour: Hi, good evening everybody. Thanks for taking my question. I don't know if this can be quantified, Tom, but you called out weather last year, whether this year in regionals and then you have the one day impact from leap year. Are you able to sort of give us a net impact number this year over last year, just so we can kind of get a sense of how much better regionals would have been aside from those headwinds and tailwinds?
Tom Reeg: I would say it would have been in excess of $10 million when you add all of those up, leap year in Vegas was another $6 million.
Brandt Montour: Okay. That's really helpful. And then over in Las Vegas, impressive margin performance year-over-year. I was hoping and you kind of touched on this in the prepared remarks. If you could just unpack where you're finding those cost savings if there's anything one-time in there? And how should we think about those things as we roll through the rest of the year, if there are going to be additional sort of tailwinds on the cost side?
Anthony Carano: Yes, I'd just say the team does an outstanding job looking at every vertical, every piece of the business, whether it's in our labor efficiencies, whether it's in our food and beverage outlets, whether it's on price or product negotiations with our vendors, the team does an outstanding job in this market and across the country and driving efficiencies wherever we can while maintaining exceptional guest experience.
Tom Reeg: And keep in mind, Brandt, we were heavy rotation in terms of F&B additions really over the last four to six quarters. And as you get to where you're anniversarying as you open up typically at higher staffing, lower margins than you are a year later, and some of it is that as well.
Brandt Montour: Okay, great. Thanks. Helpful guys.
Operator: Our next question comes from Steve Muszynski with Stifel.
Steve Wieczynski: Hey guys. Good afternoon. So, Tom, you might get angry if I asked this question, but I'm going to -- you talked about how you haven't seen any changes in customer behaviors, but I'm going to try to ask a question anyway and then you can tell me no. But if we think about your database, I would assume your higher-end players are holding up pretty well. But if we think about that lower end customer, non-rated play customer, have you seen any changes in their behaviors or a slowing of your database customers on the lower tiers, any changes in non-gaming spend in regional markets? Just trying to cover all of those bases to make sure we aren't missing anything?
Tom Reeg: Yes. No, I understand where you're coming from. There's nowhere I can parse it where it's a different story. I would tell you, as we've talked about before, since the stimulus checks rolled through the system, unrated play has been softer than rated play. But if you look at in April, rated play across the enterprise for us is up mid-single-digits, unrated play is a little softer. So, it's a pretty good story. I think that we all live in a world where what's happening in the stock market and on CNBC is the kind of the echo chamber we live in. I think that the bulk of our customers, the bulk of US consumers are not stock owners. What they see right now is gas prices are lower, people on CNBC are frightened, rich people are losing money. That is not a terrible combination for them. Now, if we get to later in the year and you get to -- you're seeing real impacts macroeconomically, obviously, we would not be immune to that. But our customers feel good. I was talking to Anthony before we started. I feel better about the way the business is going right now than I did at any point in '24 and I felt pretty good in '24. Now I'm not foolish. I know that, that can change given what's happening on a macro basis, but we are not directly impacted by tariffs at large -- hardly at all. Obviously, we have managed COGS through a pretty brutal inflation environment over the past 3.5 years. So we feel very good, and we're watching the broader macro shifts the same way that you are. We just can't see it in our business yet.
Steve Muszynski: And Tom, all those comments are through like real time through April, meaning regional...
Tom Reeg: Yes, I have numbers through -- today's Tuesday, I've got numbers through Sunday.
Steve Muszynski: Okay. Fair enough. And then 1 more question if I could, Tom. I think if I remember correctly, you guys still own about 60% of your real estate in Vegas, and I think it's like 50% in your regional markets. So I guess my question is, if there was some kind of change in the macro environment that really starts to impact you. Is that something that you guys could leverage in order to keep your balance sheet in a pretty leverage-neutral position versus having that debt ratio move or leverage ratio move higher? Hopefully, that makes sense.
Tom Reeg: Sort of it makes sense. So, we have a piece of our business that at consensus is growing $200 and something million year-over-year in EBITDA, which we're certainly comfortable with. I don't anticipate that business will be impacted much at all. So you're talking about really brick-and-mortar business. And you and I have been through enough of these call it, normal business cycle recessions versus a GFC. And what you get is you get some you get some softness in destination markets and substitution into local markets and with digital growing next to that and our free cash flow position dramatically improved in terms of where capital spending was, I feel very, very good about balance sheet now going forward into an economic a period of economic softness, I really like how we're positioned.
Steve Muszynski: Okay. Perfect. Thanks, Tom. Appreciate it.
Operator: Our next question comes from David Katz with Jefferies.
David Katz: Thanks for taking my questions. . So I wanted to just talk about the digital side and the split between iGaming and sports betting how you're thinking about those two progressing forward as we get toward this end of the year? Sports betting has been, I guess, a bit more of a challenge, whereas iGaming has maybe been a bit more natural. Help me characterize that.
Tom Reeg: Well, I'd say we do more EBITDA in sports betting than we do in iGaming. As we sit here today, we do on a per state basis, iGaming looks great. There's not a lot of jurisdictions right now. So I kind of -- sports betting is going to generate hundreds of millions of EBITDA for us in the next 18 months. If you're looking through end of 2026 as will iGaming, if you want to talk about my own views, I think that the -- what we're seeing in terms of state moves on tax rates in sports betting, is kind of symptomatic of states that are now on their own. They have to commit spending the American rescue plan funds from the federal government by the end of last year. So for all intents and purposes, that money is gone and they're on their own. So I don't -- I'm not surprised at all that they start to look to gaming. So I think that's going to put us in a cycle of iGaming legislation in '26 and '27 is going to start to look more appealing to some jurisdictions that are looking to plug holes. I think that in terms of the business, the volatility that you have seen in sports outcomes the last two quarters shouldn't be surprising. We compare -- we talk about hold percentages with the precision that we do in the brick-and-mortar business. But the reality is in sports, there's 270-something NFL games, there's less than 100 games in the NCAA tournament. You're dealing with small sample sizes, you're dealing with correlated outcomes as you get into parlay betting. So the volatility of hold in sports betting is going to remain. Now we've seen 2 quarters in a row where that worked against us as a sector. You're going to have quarters where that works for us. But I think over time, the steadiness of the hold and growth in the iCasino piece is going to become increasingly appealing to investors, and that fits very well with where our strengths lie in terms of -- I don't want to -- I said in the beginning, we're doing very well in sports betting we'll generate hundreds of millions of EBITDA, but iGaming is an even better area for us in our database. So I agree with that premise. And I think we're heading to a period of time with state budgets and with where investors are going to go where that's going to be a popular place to be.
David Katz: Understood. Appreciate that. And if I may follow-up quickly. I just want to confirm one other dynamic because I know we've talked about Las Vegas a little bit. Just confirming that as we progressed into the second quarter, specifically April so far that Las Vegas trends are moving in a positive direction.
Tom Reeg: Yes. So April looks like the first quarter across the board, every segment.
David Katz: Perfect. Thank you.
Operator: Our next question comes from Barry Jonas with Truist.
Barry Jonas: Hi, guys. Tom, any updated thoughts you can share on spinning digital sounds like operating trends are extremely strong, but not sure how market conditions are factoring in right now? Thanks.
Tom Reeg: Yes. As I said on the last call, our job is to deliver the numbers that we have laid -- that we laid out starting in 2021. We're well on that path. The goals are in our windshield now as we approach them. And we'll see where we're at when we get there in terms of are we getting value for what we've created. And if the answer is we've hit our goals, and we're moving through them, and we're just not seeing it in the equity. Again, I'll tell you, we will look at any and all options to create value for shareholders. But we are mindful that the first thing we need to do is continue to deliver numbers on the path that we have.
Barry Jonas: Got it. And then just a follow-up. I'm curious to get your thoughts on like CALSI, poly markets of the world and how maybe the contract prediction business is impacting your sports betting business? And is it something that you would consider adding as a product? Thanks.
Tom Reeg: So we don't. There's zero impact so far in that business for us. You are -- your opinion is as good as mine in terms of what's going to happen. If there are ways to drive more EBITDA through our business that open up through legislation or regulation, you should assume that we're going to look to how we can take advantage of those opportunities to the greatest extent possible for our shareholders.
Barry Jonas: Got it. Thank you, Tom.
Operator: Our next question comes from Shaun Kelley with Bank of America.
Shaun Kelley: Hi. Good afternoon, everyone. Thanks for taking my question. A couple for Eric, if I could. So Eric, I think the big debate in the online sphere is really about handle growth, especially on the OSB side. And just would love to start with your observations there in terms of kind of what you see of overall levels. Obviously, I think idiosyncratically, you're reprioritizing maybe that business a little bit your own handle growth down. But I'm more interested at the level do you think you're seeing a broader slowdown in kind of core trend as you look or evaluate the business? Or how are you kind of framing the organic growth in the -- on the OSB side? That would be helpful. .
Eric Hession: Yes. Sure, Shaun. As we've mentioned the kind of prior couple of quarters, we've reduced our reinvestment levels at the extremely low end customer where we were unprofitable. And then we've reduced also at the extremely high end of the database. And that's where you're seeing the general declines in volume in aggregate across our business. If you look at the other segments business, which are in the middle where you've got somewhat more recreational players, some fairly large players, but not astronomically high wagers that business is solid. It's growing. In our case, it's growing high single digits, low double digits, depending on which segments and which states you're looking at. So I would characterize it as very solid at this point. There's just a lot of noise out there, which I think is what a lot of people are seeing. For example, North Carolina launch, we're lapping that. You've got some other events happening. You'll have the Olympics annualization this summer. So there are some different things that are going on. But broadly speaking, I think it's still solid. Maybe it's not at the 30% level that we were seeing as you had just continually new states opening. But from our perspective, it's still a solid growth business. And at the same time, you'll see our hold slowly creep up as we get the parlay mix higher. And so you do get a compounding effect with higher volume growth and higher hold growth.
Tom Reeg: Yeah, Shaun, I'd just say, this should be what you're expecting when there are not new states, you should expect -- I'm talking industry-wide. So handle growth should decline when there are not new states, I think investors should want operators to become better and more efficient at marketing to the right customers, and that's ultimately going to lead to the profitability numbers that I see out there in reports. I don't see a scenario where you can hit those numbers with handle growth where it was in promo, where it was. That has to rationalize and you're seeing that happen, and part of the effect of that is unprofitable customers are not going to be placing bets and you're going to see handle growth not quite as spectacular as when there were a bunch of new stake. I don't see anything happening that should be unexpected. Regardless of – I understand that different investors invest for different reasons and like super high growth rates in terms of driving profitability of this business as an industry, this should be what you expect to happen.
Shaun Kelley: Thank you very much.
Operator: Our next question comes from John DeCree with CBRE.
John DeCree: Hi, everyone. A question on digital to start. So I think in the prepared remarks, you mentioned that April iCasino was up maybe 70% on top of 50% last year. I just wanted to confirm if that was GGR. And then if you could speak to that a little bit what are driving the acceleration in April specifically? And if you expect that trajectory to continue for 2Q if there was something onetime against the comp?
Tom Reeg: That's MGR, John. I really don't care what GGR is. And in terms of what's driving it, it's the same -- Eric can talk about what we're doing in iGaming that's moving it.
Eric Hession: Yeah. It's similar to prior quarters, where we continue to enhance the app. We're very excited about launching our first in-house design game. What we found is that the branded and exclusive content really drives action from our customers in addition to having a better cost profile. And so as we roll out these internally designed games, we'll expect to see that. The -- as I mentioned, the Caesars Palace app continues to be our fastest grower and our largest app. The Horseshoe app is accelerating now, which is nice to see. And so it's just basic blocking and tackling. We are improving our CRM capabilities. We've mentioned this for the last few quarters with respect to having Optimove in there that as we continue to push more campaigns through Optimove allows us to do better and better segmentation and then have less leakage in terms of reinvestment into segments where we're not getting a return. And so when Tom mentions the NGR growth, and you could see it in our numbers from this quarter, our GGR growth wasn't as high as our NGR growth because we're actually reducing our promo expense as we're growing at those high-levels. So it's a virtuous circle that we're currently in. And there's no reason to believe that the 50% growth trend for the year doesn't continue.
John DeCree: Thanks Eric. I appreciate that. And Tom, maybe one on Las Vegas, you've given us a lot of color about what you're seeing, but maybe specifically customer segment, international travel. There's been some numbers and a lot of talk about decrease in international demand to the U.S. broadly, whether it's political or stronger dollars. So could you help us understand how much exposure you have, I guess, in Las Vegas or destination marks, if it's relevant in some of your regional destinations, but how much exposure to international customers, either room nights or EBITDA whatever you can provide that you have and if you've seen anything, any slowdown at all in that business for you?
Tom Reeg: So we're primarily a domestic business. We have some international high-end play that has continued no change in that cohort for us. Canada for us is something like 3% or 4% of Las Vegas. We have certainly seen a reduction in Canadian visitation, but have been able to -- again, we're 97%, 98% occupancy business. So at that level, you were turning away others, we've been able to replace that that business. But that's the only one I'd call out that's been visible to us. We see the rhetoric elsewhere, but it's Canadians that have been visible.
John DeCree: Understood, I appreciate that. That makes sense.
Operator: Our next question comes from Chad Beynon with Macquarie.
Chad Beynon: Afternoon. Thanks for taking our question. Wanted to ask about regional margins, a little bit of noise, positive noise with Danville and New Orleans benefiting revenues and EBITDA in Q1, year-over-year margins were about flat, so that would kind of imply that the same-store margin on the rest of the portfolio was down, wondering if you could help us with that bridge. And then more importantly, as we look forward, Tom, I know you gave a rough outlook for regionals, but could we actually see margins ramp up as Danville and New Orleans continue to ramp here?
Tom Reeg: Yes. So what you're describing as you parse margins is what I've talked about for a couple of quarters now that the addition of Danville and New Orleans is offsetting competitive pressures in a number of our properties that see it both from a revenue and margin perspective and the net result is we're growing the segment. Virginia margins have held up significantly better than we were anticipating when we moved from the temporary to the permanent. But as you anniversary more of the competitive impacts in the regional assets. I would expect both overall EBITDA improves and margins improve. And the -- if you think about by the end of this year, will be faced with one more Penn Illinois move. I can't recall if it's Aurora or Joliet that happens in early 2026. But all of the competition we've been talking about will be in our rearview mirror and most of it will have been anniversaried. So we think regional continues to get better from here.
Chad Beynon: Okay. Thank you. And then with the buyback, how should we think about how opportunistic or how active you are in the market. You talked about WSOP node and just the cash that's available, we can see your CapEx guide make an assumption for cage cash, but how much more flexibility do you have this year on the buyback?
Tom Reeg: I would say if in -- if the stock dislocates as it did in early April, you should expect us to remain active throughout 2025.
Chad Beynon: Great. Thank you very much.
Operator: Our next question comes from Jordan Bender with Citizens JMP.
Jordan Bender: Good afternoon, everyone. Tom, I appreciate the color on the outlook and the levers if we do see consumer weakness in the prepared remarks. But if we can isolate Las Vegas, I don't want to hold you to a number, but how should we think about negative operating leverage and the cost levers you have to pull there in the event that we do go into some sort of downturn.
Tom Reeg : Yes. We've got the lever in terms of filling our rooms that I've discussed. We've operated now through COVID, this portfolio. And so we know that in a particularly higher economic condition, there's you can be aggressive with hours of operation days open non-gaming pieces that help you to manage that. But keep in mind, Vegas, these are giant buildings. So they operate their best and at their best margins when they're full or close to full. And so that's the key piece for us how do we manage that if and when demand softens, which again, we have not seen to date.
Jordan Bender: Okay. And Eric, on my follow-up, if my math is correct, structural hold in the last several quarters has been in the low-8s. So taking that, can you kind of bridge us from a timing standpoint of when we can get from low-8% hold to your 10% long-term target? Thank you.
Eric Hession: Yes. It's tough to say with a huge amount of precision, because it really requires us to make some changes on the tech and the trading side. And the reason I say that is, for example, right now, we can't do player prop cash outs on our app. We have the ability to price it and we launched it, but we have a bottleneck with one aspect of our tech stack. And so we're removing that bottleneck. And later in a few months, we'll not -- we'll be able to re-enable the SGP cash outs -- player profit cash out, sorry. And so that will as a result, improve our hold, because it will allow us to offer more cash out at a higher margin. And so there are a number of those things on our list. I would estimate that we would get to that 10% hold probably at the back part of next year. I think given the road map that we have and the execution time lines that it takes to push all these things through. That's probably a reasonable time line. But we're obviously trying to get there as quickly as possible. And it will also depend on customer behavior. We do find that more and more customers are enjoying put making the SGPs and the player prop wagers. And so as long as that continues to trend in the right direction, it could be sooner than that.
Jordan Bender: Great. Thanks everyone.
Operator: Our next question comes from Daniel Guglielmo with Capital One.
Daniel Guglielmo: Hi, everyone. Thank you for taking my questions. In Las Vegas for March and then any numbers you have for April. Have there been any changes in the overall spend per customer versus last year? You mentioned that every day, domestic consumer is probably in a better spot and the news flow would indicate. So I'm just curious if you see people coming in and spending more in daily [ph].
Tom Reeg: Yes. Daniel, we've not seen any change in consumer spending patterns in our business to date. I'm fully aware of what's happening on the broader stage. And if and when we see any impact from that, we will certainly communicate that.
Daniel Guglielmo: Okay. That's helpful. Thank you. And then the expected CapEx spend for $25 million stayed pretty consistent with prior quarter. Is there anything around like the supply chain that you guys are watching? Or is that all pretty buttoned up for the projects that you're working through this year?
Bret Yunker: Yes. No impact to the CapEx guidance.
Operator: Our next question comes from the line of Stephen Grambling with Morgan Stanley.
Stephen Grambling: Hey. Thanks. And this is, I guess, a question for maybe both Tom and Eric. Tom, you think you've said that the volatility in the sports betting hold and then therefore, EBITDA is kind of like a feature, not a bug. And so we should expect that to continue. But what are some of the things that you can do that you are doing to improve kind of the odd setting? And maybe should we anticipate that the upper and lower bound on that should narrow in the future.
Tom Reeg: So, I'd say within a season, no. But obviously, as the numbers get bigger, you're going to be more toward your true odds. But my point is when you make a blackjack better, we calculate holding Blackjack or baccarat, that's over millions of outcomes and pretty certain. When you're setting sports lines and we're all getting better at it. There is a human element in every piece from setting the line to the players know when the Commanders and Eagles play in the playoffs, they've already played each other twice. The players know that. The odds makers know that, the better so that all impacts the precision of those odds. And the fact is your customers, the general public bets favorites and they bet overs. And you cannot move the lines to the point where you're going to change that on a broader basis. And the things that we like about the business in terms of the parlay percentage going up across the industry with us not being an exception is increasing hold. But as parlay percentage goes up and the general public bets the favorites and over when favorites and over congregate in terms of sports outcomes, that's going to be negative. And the reverse is going to be positive. That's not going to change.
Eric Hession: And the only thing I'd add to that, Stephen, is if you look at our first quarter results, we did report hold improvement year-over-year despite the bad outcomes in the NCAA. And that's made up because we're doing a better job with tennis, with soccer with other sports like that. And so I do think you'll see the average hold continue to rise. But to Tom's point, you're going to continue as more and more people get parlayed to see volatility as well.
Stephen Grambling: Got it. Makes sense. And maybe one other follow-up just on omnichannel. I guess maybe I missed this in some of the opening remarks, but are there any major initiatives that you have to try to bolster and not just digital separately or thinking about the brick-and-mortar sports betting, but thinking about it holistically from an omnichannel standpoint, is there any way that you think about the synergies that you get from the combined efforts today?
Anthony Carano: Yes. We got a great group of hosts and player development team members across the country that have been brick-and-mortar hosts for a while now, have great relationships with players. We have a program in place to incentivize them get sports and online casino customers into Caesars Rewards and on to our app. And we also have a great group of online hosts that do the same, but also get those online customers to come and use their rewards and experience the great assets that we have on the brick-and-mortar side of the Vegas of the business, whether it be in Vegas or elsewhere. We're also -- we have large events for very good players and whether it be Super Bowl or whether it be other events. Those are events that are now being attended by not only our best brick-and-mortar customers, but also our best digital customers as well.
Eric Hession: And you saw -- we put out an announcement a couple of weeks ago about a relationship that we did with AGS as an example because we do buy so many slot machines and buy them as a group. We're going to launch a product at the brick-and-mortar facilities and online at the same time. And that is a pretty unique component for our customers that we're able to offer.
Stephen Grambling: Great. Thank you.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Tom Reeg for closing remarks.
Tom Reeg: Thanks, everybody. We'll talk to you in July when we release second quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.